Operator: The matters discussed on today’s conference call include forward-looking statements about the business prospects of Healthcare Services Group within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are often preceded by words such as believes, expects, anticipates, plans, will, goal, may, intends, assumes or similar expressions. Forward-looking statements reflect management’s current expectations as of the date of this conference call and involve certain risks and uncertainties. The forward-looking statements are based on assumptions that we have made in light of our industry experience and our perceptions of historical trends, current conditions, expected future developments and other factors that we believe are appropriate under the circumstances. As with any projection or forecast, they are inherently susceptible to uncertainty and changes in circumstances. Healthcare Services Group’s actual results could differ materially from those anticipated in these forward-looking statements as a result of various factors, and the forward-looking statements are not guarantees of performance. Some of the factors could cause future results to materially differ from recent results or those projected in forward-looking statements are included in our earnings press release issued prior to this call and in our filings with the Securities and Exchange Commission. We are under no obligation and expressly disclaim any obligation to update or alter forward-looking statements whether as a result of such changes, new information, subsequent events or otherwise. Welcome to the Healthcare Services Group, Incorporated 2018 Fourth Quarter Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to introduce your host for today’s conference, President and CEO, Ted Wahl, you may begin.
Ted Wahl: Thank you, Tiffany, and good morning, everyone. Matt McKee and I appreciate all of you joining us for today’s conference call. We released our Q4 results yesterday after the close and plan on filing our 10-K the week of 25th. During the fourth quarter, we continued to make progress on our near-term priorities of implementing and adhering to our facility level operating systems to ensure that customer service, experience and financial performance are in line with both company and customer commitments. We exited the year with good operating momentum and expect cost of services and margins to return to historical levels in 2019. Strengthening customer payment terms and conditions, which includes increasing customer payment frequency from monthly to semimonthly or weekly. To date, we have now successfully transitioned over 40% of our customers to an accelerated payment model and expect to further that trend in the year ahead. And finally replenishing the management pipeline, to ensure that we are well prepared for our continued growth and expansion in 2019 and beyond. We enter the new year having significantly grown that pipeline over the past few months and expect to continue our heightened focus on hiring and developing management candidates through at least the first half of 2019. In the year ahead, we’re very excited to continue to build upon the significant progress we’ve made on these priorities, which have laid the groundwork for a successful 2019 and beyond. So with that abbreviated overview, I’ll turn the call over to Matt for a more detailed discussion on the quarter.
Matt McKee: Thanks, Ted. Good morning, everyone. Revenues for the fourth quarter were down about $10 million sequentially to $496 million. Housekeeping & Laundry revenues were $240 million, and Dining & Nutrition came in at $256 million. The decrease in revenues was primarily related to the release – to the recently completed contract initiatives and restructuring, including Housekeeping & Laundry, which we finalized during the third quarter when we adjusted our contractual relationships with two regional customers and a number of independent facilities, and that impacted Housekeeping & Laundry revenues by about $10 million per quarter while favorably impacting margins. In Dining & Nutrition, which we completed during the fourth quarter, with several customers for primarily Genesis HealthCare with Genesis now assuming responsibility for direct payment to food suppliers as of December of 2018. All other aspects of the relationship related to food procurement, oversight and management, labor and clinical services remains unchanged. We expect the fourth quarter contract modifications to decrease Dining & Nutrition segment revenues and related food purchases by about $20 million per quarter with around a third of that impact being reflected in the Q4 results. And ultimately, we do expect that these contract modifications will favorably impact margins. Net income for the quarter came in at $32 million, and earnings per share was $0.42 per share. Direct cost of services is reported at 85.7%, about 30 basis points below our target of 86% with Housekeeping & Laundry and Dining & Nutrition segment margins estimated at 9.5% and 5.4% respectively. Direct cost included a $15 million benefit, primarily related to favorable workers compensation loss development trends as we continue to successfully execute on our strategy of reducing claim frequency, scope and severity. We expect to continue to realize operational and financial efficiencies related to our property and casualty programs in the years ahead. And direct costs for the quarter was also impacted by about $9 million of increased accounts receivable reserves, primarily related to the corporate restructurings of two privately held operators. Although the timing and announce of recovery are unknown at this point, we believe that we’re well-positioned to pursue all outstanding claims related to these matters. Direct costs for the quarter was also impacted by about $3 million of increased payroll costs [Audio Dip] management training ramp up. As we mentioned in the past couple of quarters, we expected to see additional management trainee related investment as we ramped up our recruiting and training efforts over the past few months. Now the more – majority of that investment was contained to the fourth quarter and fourth quarter specific, but we’ll continue to have heightened focus on management development through at least the first half of the year. And beyond that, our expectation is that the management development function returns to its normal cadence without the stop start dynamic that we’ve seen thereout from 2017 to present. Overall, our near-term goal remains to manage direct costs at or below 86% in the year ahead and ultimately, to continue working our way closer to 85% direct cost of services. SG&A was reported at 6.4% for the quarter. There was about a $4.1 million impact from the change in the deferred compensation investment accounts that are held for and by our management people. So our actual SG&A was right around 7.3%, and that was impacted by about $1 million of costs related to the recent renewal of our line of credit, as well as increases in professional fees from technology investments related to the January 1, 2019, transition from our legacy finance and accounting platform to the workday financial management model. We expect SG&A to approximately 7% for the year with ongoing opportunities to garner additional efficiencies. Investment income for the quarter after making that adjustment for deferred comp was negligible. Our effective tax rate was 9.9% and 16.4% for the quarter and year, respectively, and was impacted by the timing and amount of WOTC state specific tax credits and other discrete items. We expect our 2019 tax rate to be in the 21% to 23% range, including WOTC, but excluding other discrete items that impacted the 2018 rate. Over to the balance sheet. At the end of the fourth quarter, we had $102 million of cash and marketable securities, current ratio of 3:1. Cash flow from operations for the quarter came in at $5 million and was impacted by the $21 million decrease in accrued payroll. Cash flow from operations for the year came in at $80 million, including $52 million in the second half of the year. And because we called out the timing of the payroll and the impact of the payroll accrual last year, we would point out that the 2019 payroll accrual will have a similar cadence to 2018 in that quarters one and three will be higher and quarters two and four, a bit lower. But of course, that only relates the timing and essentially, washes out through the full year. DSO came in at around 61 days. And as we announced yesterday, the Board of Directors approved an increase in the dividend to $0.19625 per share payable on March 22, cash flows and cash balances supported. And with the dividend tax rate in place for the foreseeable future, the cash dividend program continues to be the most tax efficient way to get the value and free cash flow back to our shareholders. This will be the 63rd consecutive cash dividend payment since the program was instituted in 2003 after the change in tax law. It’s the 62nd consecutive quarter that we’ve increased the dividend payment over the previous quarter. That’s now a 16-year period that’s included four or three for two stocks splits. So with those opening remarks, we’d now like to open up the call for questions.
Operator: [Operator Instructions] And our first question comes from Sean Dodge with Jefferies. Please proceed.
Sean Dodge: Good morning. Thanks for taking the questions. Maybe starting with revenue and the outlook for the year. You guys mentioned elevated payroll costs as you reramp management recruiting. Could you help frame for us how you see that converting to revenue? I guess, how big is the pool of undeployed managers now versus where it was this time last year? And you already have a good sense of where all those new managers are going to end up? Or is this more of a kind of build it and hope the demand comes?
Ted Wahl: Yes, I think, Sean, just in terms of growth and outlook for 2019 and beyond, I would say for the first half of this year, certain geographies are well positioned for growth. From a total company perspective though, and as we alluded to and will continue to focus on the ramp up of the management pipeline, there’s still work to be done in terms of building the requisite management steps to support, the growth expectations that we have going into the back half of the year and into 2020. So I would think of it as slower growth. Although, we will grow, it’ll be more geography specific, and then normal course of business type growth sequentially between Q3 and Q4 and then Q4 into Q1 of 2020. Longer-term beyond that, we continue with – to believe with the demand for the services and the opportunity that exists, we’re going to be in that double-digit type growth range high, single-digits maybe low-double digits depending on the quarter or the year with the biggest single variable being management development.
Sean Dodge: Okay. And then staying on revenue. Is there any update you can provide on the $40 million of service revenue that it was put back to your clients in the third quarter? Has any of that been reconstituted yet, or when do you expect most of those full-service arrangements to be back up and running?
Ted Wahl: Right now, we’re still in a status quo as we were during those – the same position we were during those transitions, and no near-term expectation that there would be a ramp up back to full services. Although, as I’ve said before, that’s more typical than not that after a period of time where we are in a reduced service mode, we’re more likely to then increase to full-service when both parties are ready to do so rather than exit out completely. But in the meantime, we’re continuing to provide the management, the supplies and on the housekeeping sites, some of the consumables as well.
Sean Dodge: And so you’d only keep the managers remain in place if you thought there was still an opportunity for those to go back to full-service?
Ted Wahl: It’s customer specific. But generally speaking, yes, because our preference would be to redeploy those management resources to full-service arrangements or with customers that are kind of committed to the relationship and value the services in a way that we believe is mutually beneficial to both.
Sean Dodge: Very good and thank you.
Ted Wahl: Thank you, Sean.
Operator: Thank you. And our next question comes from Andrew Wittmann with Baird. Please proceed.
Andrew Wittmann: Hey guys, thanks for taking my question. Good morning. I’m just kind of curious on the initiatives that you put in place here to collect your cash a little bit faster. I think you said 40% or something of your clients are paying faster under new terms. Healthcare Services Group strategy has had many benefits to their customers over the years. You save them money. You make it easier on them so they can focus on the patients. But one of those things has always been, hey, we’re float you a bit more. That will make it a little bit easier for you. What has the customer response been when you’re coming and saying, "Hey, you need to pay me at least once a month, maybe twice a month and maybe every week." That is one of the things of the value prop. It was valuable to them presumably. And I wanted to understand how that’s been received in the marketplace.
Ted Wahl: Yes. I would start with the fact that every conversation, every one of these migrations is done in a collaborative type of way. Now in some situations, there’s a catalyst or a triggering event that forces the conversation, but the ideal approach is that it’s a collaborative conversation, and it’s not about reducing that float or that initial credit term that you alluded to. Andy, that’s not the strategy. The strategy is really to increase the frequency and for months. So if someone is paying for January services at the end of February, it’s not to remove that embedded 28 days is to even out the payments over four separate payments within February, which does not have the impact of either reducing our DSO or increasing their payables outstanding, but what it does do, and this is getting back to the customer viewpoint, it often times aligns better with their reimbursement. And it certainly aligns more consistently with their payroll outflows. So I think the customer response because it’s done collaboratively and in a way that we try to craft it where it works for both parties has been positive. And that it’s not inconsistent with other providers in the industry. And I would just use the food brought liners, U.S. Foods or Cisco being the two largest as primary examples where they are time-tested models of weekly payments. So it’s not like it’s a foreign concept to the provider community. But again, I think overall positive response, and it’s something we’re deeply committed to as a – the default model that we think not only will better serve the overall customer experience but also help make sure that our cash collections are more representative of our cash outflows.
Andrew Wittmann: Okay, great. Thank you for that. I guess the other thing that would be helpful here is some context from you guys you talked about in the script a little bit, but can be confusing around the workers’ compensation adjustment for $15 million. You just talk about how that affected the quarter, what that actually represents and maybe in more layman terms for everybody. So that we can understand how that – what that reflects and what that means?
Matt McKee: Yes. Where is the workers comp goes, Andy, really, you have to look back a number of years to really see the origins of the benefit that is now ultimately running through our financials, and it was more than five years ago that we started restructuring the program prior to even going to that captive model in 2014. It’s really that program restructuring that’s driving the benefit that we see thereout today, and that started with engaging a new broker, partnering with a nurse case management firm and alongside that, bringing a revamped return-to-work program. Then ultimately unbundling the program, engaging a third-party administrator, leveraging their national position panel and medical bill repricing structure. So that was all of the programmatic groundwork and foundation that we laid. The final component, as you recall, was just dropping into the wholly-owned captive, and the goal of all of those initiatives was not necessarily to reduce the number of claims, but to shift the mix of claims from what was at that time a one-third, two-third indemnity to medical only split, and the indemnity claims or the claims that include not only medical cost, but also some component of lost time from work, today, now having only 15% of our claims as indemnity with 85% being medical only, and a reminder, that the Delta between the two claim types on a fully developed basis is about $30,000 per claim, that difference between an indemnity and a medical only claim. So on thousands of claims per year, over five years, the number start to add up. And the full run rate of the results are now running through our payment experience. So we’re not expecting this type of adjustment going forward. But the reserves and adjustments are based on the annual actuarial assessment and recommended range. So either way, we’re going to continue to seek operational improvements in this area, and we’ll continue to manage the process conservatively.
Andrew Wittmann: Okay. So as it relates to 2018, what was the in year for that year benefit specific to 2018 to recognizing that the $50 million covers multiple years of accounting adjustments?
Ted Wahl: I’d say, maybe answer it in a different way. We anticipate about $1.5 million, maybe $2 million of efficiencies in 2019. You would’ve applied the now newer or new actuarial experience to the future to 2018, you would have been in and around that range.
Andrew Wittmann: Okay, that’s helpful.
Ted Wahl: Annually, not quarterly. Annually.
Andrew Wittmann: Annually, right. Okay, that’s helpful and all of my questions for now. Thank you.
Ted Wahl: Okay, take care. Thanks, Andy.
Operator: Thank you. And our next question comes from Michael Gallo with CL King. Please proceed.
Michael Gallo: Hi, good morning. Ted, you guys have been through a number of these industry credit cycles over the history of the company. And what inning would you say you’re in? And as I recall, in some of the prior cycles, you kind of hit that point where not only bad debt starts going – stops going up, but you start to actual resolve the other bankruptcies and start to actually collect relative to what you reserved for. Do you start to see that happen in 2019? It seems like either one of the cases from last year just resolved with some recovery and kind of as we sort of look at a year, or two years, do you think this will play out with similar cycles, where you kind of hit a point where bad debt reserve reaches a sort of the max and then kind of starts to abate again?
Ted Wahl: Yes. I think in terms of the industry overall, I do think we’re in the back half of the game or back half of the cycle. The piggyback off of your inning reference, maybe we’re in the seventh inning stretch, Mike, if I had to put a finger on it. Because we are starting to see industry wide and certainly within our customer base, more anecdotally, signs of the demographic trends – improving demographic trends take hold census levels troughing. And that is, I think, far and away even outside of reimbursement methodology, which PDPM, the new reimbursement methodology kicks in October of 2019, which I think to a person in the industry believes that will be a net positive. Now there will be some implementation I’m sure, work to do around that. But from a overall perspective, the general consensus is that that’s going to be a net positive for most of the provider community. But we are starting to see signs of the demographic trends improving, and maybe more specific to us, Mike, I think a lot of the hard work around the debt restructuring and much needed rental rate relief has happened. But looking out over the next 6 to 12 months, there’s still more work to be done by some operators. So it wouldn’t be beyond around that we could see, let’s say, some of the fruits of that labor manifest itself in a similar way to what it did this quarter. But there’s nothing that we anticipate as we said here today. But again, I think we’re still working through the back half of the cycle. But overall, from our perspective, we’re very well-positioned heading into the year. As I mentioned at the outset, we have very good operating momentum. We have good growth and expansion opportunities. And for us, we’ve also well-positioned the company to mitigate these events, when they do – mitigate the amount and mitigate the exposures when these events happened. And I think a lot of that – I think the two customer groups that we increased the AR reserves for this past quarter are good examples of that. Both were proactively identified months before as potential risks. Both were migrated onto a weekly payment cadence. And both had much less exposure than what they otherwise would have if they took – if they made – if they moved forward with these strategic alternatives 12 months ago. So I think, again, we’re well-positioned. Although we’re not completely immune to it. We’re well-positioned, and I think stronger today to deal with an event here or there than we were a year ago at this time.
Michael Gallo: Okay, great. And then just a sort of a follow-up to that, you guys obviously, significantly increased the size of the credit facility and also the allowable leverage, I bet, you could take on onto that facility. Obviously, you have no net debt today. Is there a point where you think about as you get to the resolution of some of these problems that you think about broader, capital return as free cash flow starts to mirror net income, and you start to kind of clean up the old problems? Obviously, at this point, dividend payout ratio as a percentage of earnings is probably the lowest it’s been in many years.
Ted Wahl: Yes. It’s interesting. We had our board meeting yesterday and had a pretty robust conversation about the dividend, and I will tell you, Mike, we continue to come back to rather than a payout ratio, the board’s guidepost for dividend in particular is consistency and sustainability. We want the dividend to be consistent over a period of time and sustainable in perpetuity. And that won’t preclude us from increasing the dividend above and beyond the level that it is today. But I think, cash flow, cash generation, if it continues to be where it was in 2018 and we expect further strength in that area in the year ahead, then we’ll be in a position to reassess. But just to give you a window into the board’s thinking, it’s all about consistency and sustainability.
Michael Gallo: All right. In terms just – is buyback something that’s also been discussed in this company. You used to buy back stock a while back. It’s been quite a few years, I think, since you bought it.
Ted Wahl: Yes. It’s talked about, but I think there’s a deep commitment as we sit here today to the dividend. It wouldn’t preclude us from considering a buyback, but right now the focus and the board’s belief of the highest and best use of free cash flow and returning value to the shareholders continues to be the dividend.
Michael Gallo: Thank you.
Ted Wahl: Thank you, Mike.
Operator: Thank you. And our next question comes from A.J. Rice with Credit Suisse. Please proceed.
A.J. Rice: Yes. Couple of questions, if I could. So any background on the restructuring of the Genesis contract? Is that driven by Healthcare Services Group, by Genesis? Does it affect your exposure to Genesis in any way in terms of the nominal liability you carry for – with them?
Ted Wahl: I would say, it was done collaboratively with both parties and had absolutely nothing to do with exposure or increasing or decreasing exposure because the relationship, I think, sitting here today is stronger than ever and a deep commitment on both parties part to the value of the relationship and continuing to make the relationship forward. I think, A.J., specifically, maybe to take a step back and then get back to Genesis for a moment, really the contract initiatives in general, Matt mentioned earlier, Housekeeping & Laundry in Q3 and then Dining & Nutrition in Q4 were really the result of the focus that we had on our near-term priorities around margins, cash flow and management development. For the purposes of putting the company – putting us in the strongest position possible with positive momentum heading into the new year, and I think, we’ve absolutely accomplished that heading into the new year. The change with Genesis specifically is really more administrative and that other than Genesis paying the food invoices directly, the other aspects of the relationship, Matt, allude to these earlier, food procurement, management, labor, clinical services are the same as they were before, and I think for us, we’re able to now maintain the combined purchasing scale benefit, really to the benefit of Genesis, to the benefit of HCSG – and to the benefit of non-genesis HCSG customers. So it’s like a win-win-win scenario as well as positively impact margins moving forward. So I think that’s really how we think about the change specifically with Genesis and that partnership more than anything else.
Matt McKee: And I would piggyback what Ted said there, A.J., if you go back to the outset of the Genesis dining relationship back to the beginning. The primary food purchasing procurement and synergy opportunity was around volumes and scale that both Genesis and Healthcare Services Group, not to mention our other customers would benefit from that combined scale that the two companies purchasing would bring to the market. But the other purchasing opportunity, which we recognized was a bit of a longer play, was for us to understand their systems, their purchasing systems and processes around menu management, sourcing, product requirements, we’re very clear in calling that out again at the outset of the relationship. Part of that evaluation was owning us that entire process, including the supply chain so that we could assess and enhance along the way. And that’s now been accomplished through the full integration into our overall dining processes. Again, to the benefit of both Healthcare, Genesis and our other customers. So going forward, as Ted alluded to, we can continue to meet our purchasing and procurement objectives for Genesis and overall, and while Genesis administratively makes those supplier payments directly.
A.J. Rice: Okay. My other question was that you talked about elevated payroll costs as companies investing in management training and ramp-up of the new talent. Can you quantify how much of that was in the fourth quarter? And is that going to continue into the 2019, at least the first half, or not really?
Ted Wahl: There was about $3 million, A.J., that was – that related to the management training ramp-up. The majority of that was Q4 specific. You know there’s going to be some continued investment in that area, but there was a moment in time ramp-up just related to increased hiring and developing activities, stuffing the funnel, if you will, to increase the throughput, as we move towards the second half of the year where we’re looking to again return back to normal course of business type growth. But we will continue to have that high focus area and invest in management development, perpetually and in perpetuity as we always have, but certainly a heightened focus in the first half of the year.
A.J. Rice: Okay, thanks.
Ted Wahl: Thank you, A.J.
Operator: Thank you. And our next question comes from Ryan Daniels with William Blair. Please proceed.
Ryan Daniels: Yes, good morning, guys. Just a few more nuance questions at this point. In regards to recontracting to more favorable terms, you mentioned 40% of your clients. What percentage of your revenue or AR is that? Is it a similar 40% or are those kind of a bigger clients? Or any different way to look at that?
Ted Wahl: It’s really 40% of billings. That’s how we’re thinking about it
Ryan Daniels: How should we think about…
Ted Wahl: So customers would not – I think about 40% of facilities would be the best way to think about it.
Ryan Daniels: Okay. And how should we think about that going forward? I know you’re constantly assessing the risk of your customers. Do you think the majority of that recontracting is done? Or are you continuing to do that and you’re expect another sizable chunk as we look forward?
Ted Wahl: It will be done in a methodical, and I think, case-by-case type of way. I think it is our default model moving forward though, Ryan. So with existing customers, right, that’s one type of strategy, that’s one type of conversation when everything is working in a way that is in line with the original expectations of the agreement. When there’s a triggering event, like a missed payment or some other matter, that’s a different type of conversation with the customer. They try to set up the relationship for success moving forward. And then with new opportunities, it’s yet a different conversation. So there’s no one-size-fits-all, but I will say, this is our approach moving forward. And we’re committed to it without putting a "Hey, we’re going to be at 75% or 80% next year." I wouldn’t be comfortable putting a target number out there. Because I think it is a more bottoms-up approach at least with the existing customers. But we’re going to continue to move forward with this as a high priority for the company.
Ryan Daniels: Okay. That’s very helpful color. And then last one for me, I know you don’t want to give quarterly guidance. You did talk about a resumption to more normalized growth in the back half of the year, but if we look at, take Q1, you’ve got a really tough year ago growth comp at mid-20% range. You’ve got the Q3 restructuring, another Q4 $20 million headwind a quarter with Genesis. Should we, actually, be thinking about negative sales performance in the first quarter on a year-over-year basis where we can see a drop in sales before rebounding into the back half of the year?
Ted Wahl: Yes. I would think of it more – I think of it more sequentially than I would year-over-year. But if you’re looking at where we were in the first quarter of 2018 and where we’ll be in the first quarter of 2019, I think based off of the full run rate of the contract initiatives being reflected, that’s what I would expect, Ryan.
Ryan Daniels: Okay. Yes, I just want to be certain about this.
Ted Wahl: Yes.
Ryan Daniels: Thanks, guys.
Ted Wahl: Thank you.
Operator: Thank you. And our next question comes from Jacob Johnson with Stephens. Please proceed.
Jacob Johnson: Hey, thanks. Just one quick follow-up on the Genesis business and the contract adjustment. Is there other potential for you to bring those revenues back online like the third quarter contractual adjustment? Or is this something different?
Ted Wahl: I think the relationship with Genesis, with any customer is always evolving, right? Like any relationship. So I would never say never. At this point in time for both parties, this is what made sense in a collaborative type of way, but who knows.
Jacob Johnson: Got it. And then on the gross margins, the 14% plus target in 2019, does that assume a return to more normal bad debt trends in 2019? Or does that include something for some of these operators who could have some work to do this year?
Ted Wahl: I think it’s just dependent, right. I mean we have – obviously, we’re recognizing a certain portion of bad debt each and every quarter, each and every year based on the best estimates of the time, and if there’s a triggering event or something that’s unanticipated, then it’s reserved for and accounted for appropriately. So I think it just depends on the situation, the customer and the environment, as I talked about earlier, as we work through the back half of the cycle. But we feel like going into the year, we’re in a very good position that we’ve significantly mitigated some of the future risk that existed through either boosting reserves over the past year or accelerating the payments or reworking the agreements that we had in some cases. But again, as I said earlier, we’re not completely immune from a customer or a provider that decides to seek out a strategic alternative or enter into restructuring conversations. And never happened by the way.
Jacob Johnson: Got it. Thanks for taking the question.
Ted Wahl: Hey, thank you.
Operator: Thank you. And our next question comes from Bill Sutherland with Benchmark Company. Please proceed.
Bill Sutherland: Thanks. Good morning, Ted and Matt. I wanted to just look at the dietary, the recontacting there. It’s not just with Genesis, correct?
Ted Wahl: Correct. There was a few other. It was more independent and really smaller state-based groups that were part of that as well. But Genesis made up well over 80% of the adjustment.
Bill Sutherland: And should we think about the revenue attached to purchasing as largely – I mean is there a margin on that?
Ted Wahl: I would think of it more as a pass-through design. Again, Matt mentioned it earlier. But the real benefits of the relationship was around scale, volumes and then specifically on the purchasing side, scale, volumes and then the systems and around menu management sourcing, and I think Matt mentioned the product requirements or product sourcing. So that’s where the benefits lied. It looked and felt more like a pass-through arrangement. So I think the cleanest way to think about it is a dollar-for-dollar type of change.
Bill Sutherland: So you – I’m just – I’m grappling with your rational. And it makes sense because revenue that’s largely profitless as well as reducing your dollar exposure on a credit basis. But I’m wondering about – I’m just thinking about the gross margin that you targeted 14% prior to this restructuring, and you’re maintaining that, but I would think of the upside now to your…
Matt McKee: Yes. There could be, Bill. But I mean for us, let’s – it’s difficult with the transition taking place in December and some of the transitory related – the transitory related cost and what not, may be. It was difficult to put a finger exactly on what the margin increase would be. But I think we’ll have a better view of that, certainly, first half of the year, if not by the end of the first quarter. But as we said, we expect it to be directionally favorable. And we will be in a position first quarter to see where we’re at. We’d like to get to the 86% direct cost of services, 14% margins, first before we start talking about an earmarking better performance than that.
Bill Sutherland: Okay. And then last. You’re indications on revenue sequentially gained back to more normal trend. Was it in the second half or not until a little – really third quarter into fourth quarter? And to that point, is the management training also affecting the pipeline of management? Is that also affecting your dietary cross-sells? Or is that maybe moving at a quicker pace? Thanks.
Matt McKee: Yes. Really for us, Bill, the virtuous cycle, if you will, is management development first and foremost as has always been the case. We can’t do what we do without the requisite number of quality managers. And that includes managing the base business. There’s certainly an emphasis on the management development function in service of adding new business. But we also are very much focused on delivering a high quality product and service and experience to our customers and oftentimes, that means replacing existing managers who are not performing. So there’s absolutely a component of that management development function that goes into replacing underperforming managers within the existing structure and add existing customers of ours. But certainly, the greater focus in the management development function is in service of adding new business. So for us, it is management development leading to that sort of assessment of management capacity in servicing the existing customers and in adding to that book of business with new facilities, and then sort of rinse and repeat as we have talked about previously. So without a doubt, that whole component of management development does impact not only greenfield sales opportunities and acquiring new housekeeping customers but likewise, enabling the dining cross-sell. It does come down to management. Do we have the requisite number of managers at the facility level to add new facilities. And certainly, and especially more pronounced in certain geographies, we have the middle management capacity in dining, but you still need to have a manager on site at the facility level. Those folks are almost exclusively developed through that training program. So it all does work together, Bill. So as Ted alluded to, it’s very much sort of geographically oriented in that, that recruiting the training, the development, does happen locally within the districts. So there are absolutely some geographies that are going to be adding new facilities, new business, whether that’s housekeeping or dining, here in both the first and second quarters. There’s no doubt about that. But if you look at sort of total company, someone had called out sort of the – I think Ryan called out the more challenging first quarter year-over-year comps from a revenue perspective, we think about it very much as a sequential build of developing the managers and then being able to layer on the business. So I think ultimately, you’ll see new business added in first and second quarters but they ultimately kind of total company move the needle you’re looking at a back half of the year dynamic.
Bill Sutherland: Okay. That’s helpful. Thanks.
Matt McKee: Thanks, Bill.
Ted Wahl: Thank you, Bill.
Operator: Thank you. And our next question comes from Mitra Ramgopal with Sidoti. Please proceed.
Mitra Ramgopal: Yes. Hi, good morning. I was just wondering as we look into 2019 and beyond, any potential for further contractual adjustments with some of your customers?
Ted Wahl: We don’t anticipate any as we sit here today, Mitra. In fact, we really – again, with – in line with the near-term priorities we laid out in the middle of 2018, that really initiated our thinking and the strategies around Housekeeping & Laundry in Q3, and then Dining & Nutrition in Q4. So we don’t anticipate any standing here today. We think we have a good foundation moving into the new year.
Mitra Ramgopal: Right. Okay, thanks. And just back on the management hiring side. I’m just curious if you think you are on track or you’re a little behind. Given the tight labor market, are you seeing any headwinds there as it relates to ramping up that pipeline?
Ted Wahl: I’d say in total, Mitra, if you’re looking at kind of in a top-down type way, we’re pleased with where we are. The labor market’s been fairly stable, of late. And as we’ve discussed previously, that impact is really more pronounced at – within the local markets. There’s generally a greater impact at the facility level with our line staff employees as compared to kind of the management-type candidate that we are recruiting and hiring and funneling into the training program. So labor market, again, it hasn’t impacted in certain geographies and in certain markets, and that tends to be a timing related more so than kind of our an ongoing issue that we need to address or in any way alter the recruiting or training programs. So, yes, we feel total company, we feel good about where we’re at. But there – when you’re drilling down to the local level, within the districts, there are some districts that are certainly ahead of where we anticipated that they would be and maybe able to grow sooner and add more business than what we would have anticipated. But the flip side of that is, of course, the districts that are either turning over more candidate through the program than what we would have anticipated or struggling to get bodies into the appropriate facilities through the training program. So very much – I’m sorry, a district geographically-based assessment. But in total, if you roll it all up, Mitra, we’re feeling really good about where we are at as a total company.
Mitra Ramgopal: Okay, that’s great. And then finally, just back on the investments you’ve made on the technology side. Is that pretty much behind you as you’re going into 2019?
Ted Wahl: We’ll always continue to identify opportunities to make appropriate investments in technology if it’s for the benefit of the company if it’s aiding in, furthering our current efficiences or if it’s better positioning us for scalable growth. Specifically, we talked about the conversion of our antiquated is probably a fair word, finance and accounting platform, it was a legacy system that’s decades old. So we outmove that made that transition to a workday financial module. So specifically, that was kind of the more significant kind of technological transition that we’ve undertaken. We’ll – as I said, that’s behind us. That transition has been undertaken successfully as of Jan 1. But we will always endeavor to identify potential opportunities to further the business by making investments in technology. But as we sit here currently, Mitra, that investment is behind us. And not been significant on the imminent horizon.
Mitra Ramgopal: Okay. Thanks, again for taking the questions.
Ted Wahl: Thanks, Mitra.
Operator: Thank you. And that concludes our Q&A session today. I’d like to turn the call back over to Ted Wahl for closing remarks.
Ted Wahl: Great. Thank you, Tiffany. As we enter 2019 and what is our 43rd-year of business, the company’s underlying fundamentals are as strong as ever. Our leadership and management team, our business model and the visibility we had into our business model, learning platforms, key operating trends around systems implementation, customer experience, employee engagement and margins, our rock-solid balance sheet, the strong demand for our services and the growth opportunity that lies ahead for the company, our employees and all of our stakeholders. It’s very exciting to imagine all of the future possibilities and know that our future begins with our great people going beyond. And living out our purpose, exemplifying our values and fulfilling our company’s vision. The purpose, vision and values is the company’s touchstone and is our pathway to delivering sustainable, profitable growth over the long-term. So on behalf of Matt and all of us at Healthcare Services Group, thank you, Tiffany, for hosting the call today and thank you to everyone for participating.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes the program. You may now disconnect. Everyone, have a great day.